Operator: Welcome to the Buckeye Technologies Inc., fourth quarter earnings results conference call.  (Operator Instructions).  At this time for opening remarks and introductions I would like to turn the call over to John Crowe, Chief Executive Officer of Buckeye.
John Crowe: Welcome to Buckeye’s conference call commenting on our results for the April-June quarter 2008 and fiscal year 2008.  Today I am joined in this call by Kris Matula, President and Chief Operating Officer; Steve Dean, Senior Vice President and Chief Financial Officer; Beth Welter, Vice President and Chief Accounting Officer and Daryn Abercrombie, Senior Finance and Investor Relations. After Steve and I have made some introductory remarks we will respond to your questions; first Daryn will read our Safe Harbor statement.
Daryn Abercrombie: Answers to questions and other comments may constitute forward-looking statements within the meaning of the Federal Securities laws.  Although management believes these statements are based on reasonable assumptions, these statements are subject to risks and uncertainties that could cause actual results to differ materially, including but not limited to risks related to economic, competitive, governmental and technological factors affecting the company’s financing, markets, order volumes, prices, products, operations, capital expenditures, and costs. Other risk factors can be found in Buckeye’s press releases and public filings with the Securities and Exchange Commission.  Additionally, non-GAAP financial measures may be discussed during this call.  Any required disclosures with respect to these measures are provided in the investor relations section of our company website www.bkitech.com.
John Crowe: Net sales for the April-June quarter grew by 7.6% over the prior year to $215.3 million a new quarterly record.  After tax earnings for the quarter were $9.3 million, $0.24 per share, compared to the after tax January-March quarter earnings of $10.4 million, $0.26 per share and $15.9 million, $0.41 per share to the same period a year ago. In quarter four 2007, $0.15 of the $0.41 were due to one time items.  Steve will cover the items in detail during the earnings reconciliation.  Increased selling prices across all our businesses compared to the year ago quarter were sufficient to offset significantly higher raw materials, energy, chemicals and transportation costs; however reduced production volumes due to unplanned maintenance outages at our Perry Florida wood facility mill and lower non-woven sales, were the drivers behind our year-over-year reduction in operating income of $7.1 million. Due to the unprecedented cost escalation we have experienced over the past six months we have implemented additional price increases and surcharges effective July 1.  While oil and natural gas prices have moderated recently, we are still facing rising costs for raw materials, chemicals, and transportation in the July-September quarter. Fiscal year 2008 was an outstanding year for Buckeye.  Building on our momentum from 2007 we achieved a variety of significant performance milestones including our highest ever sales revenues, debt reduced below our $400 million target and earnings per share up 52% over the prior year. Highlights for the fiscal year 2007 that I would like to call to your attention include net sales of $825.6 million, our best ever, and 7.3% above our previous best of $769 million achieved last year.  Net cash provided by operating activities totaled $92 million enabling us to reduce balance sheet debt to $394 million this year, meet our capital expenditure needs, and complete a modest share repurchase of 300,000 shares.  We expect to continue to manage debt at or below our current balance of total debt to capitalization of 48%. We are now in position to use cash for opportunities that include share repurchase, dividends, cost savings projects, and growth initiatives. Our earnings for the year were $47.1 million after tax, $1.20 per share, a significant improvement to last year’s earnings of $30.1 million after tax or 40.79 per share.  Our capital spending was up slightly at $49 million and we anticipate increasing our investment program to $54 million in fiscal year 2009 as we implement our renewable energy project at our Florida facility. Our gross margin improved to 18.1%.  While our margins were compressed by unprecedented and unexpected cost pressures during the second half of the year, possibly expected to continue during fiscal year 2009, we are committed to achieving margins at or above 20% over the longer term. Now Steve will review the supplemental reconciliation chart that we included with our press release.
Steve Dean: I would like to provide some color to the quarterly sales and earnings reconciliations included on the last page of this quarter’s press release financials. Starting with the first column at the top of the page we have a reconciliation of earnings per share for the fourth quarter to the same quarter a year ago.  In the fourth quarter net sales were up $15.1 million or 7.6% compared to the same quarter a year ago.  Selling prices were significantly higher, up 12% on average compared to the same period a year ago and accounting for $20.8 million in incremental sales revenue year-over-year.  Shipment volumes in tons were down year-over-year by about 2% accounting for a reduction in sales of $9.6 million compared to the same period in 2007, partially offsetting the impact of higher prices.  This reduction in volume was due to the previously announced volume loss with a large customer in our non-woven segment.  The impact of the stronger euro added $3.7 million to our sales for the quarter, but currency overall had a small negative impact on earnings for the company. Selling prices were up across all segments of our business compared to the same period last year.  Selling prices were up approximately 9% for the quarter on our wood specialty products, primarily as a result of price increases implemented in January. Prices were up about 26% year-over-year on our cotton specialty products due to price increases implemented over the course of the year to pass through the rapidly escalating cost of cotton linters.  Fluff pulp pricing increased by about $80.00 per ton compared to the same quarter in 2007 and non-woven selling prices were up about 3% on the average, excluding the impact of mix in currency. Moving to the second column, sales for the April-June 2008 quarter were up by $13.4 million or 7% compared to the January-March 2008 quarter.  The specialty fibers segment accounted for $10 million of this increased and non-woven materials accounted for $3.6 million.  Higher shipment volume during the quarter added $6.8 million to sales versus the preceding quarter and higher selling prices added $5.9 million. While we had expected to benefit from increased production volume in the quarter at our Perry, Florida wood cellulose mill, compared to the January- March quarter production volume was about flat quarter-over-quarter as we experienced a similar level of unplanned maintenance outages during the April-June quarter as we did in the January-March quarter.  Shipment volume from this mill did increase by about 3,000 tons, but the additional shipment volume came out of inventory. Shipment volume from our airlaid non-wovens plants was higher as we started to see increased volume ramping up in June which will replace about 60% of the North American volume we lost in January.  We expect to realize the full benefit of this new business in the July-September quarter which should add another $3 to $4 million of sales in that quarter. The $5.9 million increase in selling prices in the April-June 2008 quarter compared to the January-March 2008 quarter was driven by price increases of about 11% on our cotton cellulose specialty products and average increase in our fluff pulp pricing of about $20.00 per ton and higher non-woven material prices, which were up 1 ½% on the average.  At the bottom half of the page we have reconciled earnings per share for the same period.  All these figures are of course net of taxes. In the first column you can see that earnings per share for the fourth quarter at $0.24 per share was $0.17 lower than the $0.41 per share reported in the same period a year ago.  $0.07 of this reduction in earnings is explained by two non-referring items from the fourth quarter of last year, when our results included a $2 million pre-tax benefit from a water conservation partnership payment and a $2.1 million pre-tax benefit from reversal of accrued interest related to cancellation of a contingent note. Another $0.01 ½ cents is explained by a higher effective tax rate, 26.5% in the fourth quarter of fiscal 2008 compared to 21.9% in the fourth quarter of fiscal 2007 as there were fewer tax benefits recognized in the quarter just completed than in the year ago quarter.  That leaves about a $0.09 reduction in earnings per share excluding the impact of special items.  Lower operating income reduced earnings per share by about $0.12 and this was offset by about $0.03 per share in reduced interest expense. Higher prices added $0.37 per share in earnings versus the same quarter a year ago, but costs were up $0.45 per share and the impact of lower shipment volumes knocked another $0.04 per share off of earnings for the quarter.  Increased selling prices across all of our businesses were sufficient to offset significantly higher raw materials, energy, chemicals and transportation costs; however reduced production volumes due to unplanned maintenance outages at our Perry, Florida wood cellulose mill and lower sales and operating performance in our non-wovens business were the primary drivers behind a year-over-year reduction in operating income of $7.1 million.  Production volume at our Perry wood cellulose mill was off about 8,000 tons compared to the same quarter a year ago. On a pre tax basis raw material prices were up $11 million versus the fourth quarter of fiscal 2007 with cotton fiber costs accounting for $7 million of this increase.  Costs were also up for energy $3 million, chemicals $2 million, and transportation $3 million over the same period a year ago.  The stronger Brazilian currency cost us another $1 million. Finally, moving to the next comparison between the third and fourth quarter, earnings per share for the fourth quarter of $0.24 were down $0.02 compared to the preceding quarter ended March 31, 2008.  Pricing and product mix contributed a positive $0.10 relative to the January-March quarter with about 2.3 of this increase due to higher selling prices on our cotton cellulose specialty products and the remaining 1/3 due to higher prices on fluff, pulp, and non-woven materials. Costs were up $0.16 per share.  Higher raw material, chemical, energy and transportation costs accounted for most of this increase.  On a pretax basis, raw material prices were up $3.5 million versus the preceding quarter, with cotton fiber costs accounting for $2.4 million of this increase.  Energy prices were up about $2 million and chemicals and transportation costs were each up about $1 million from the January-March quarter to the April-June quarter.  Higher shipment volume from our wood cellulose mill and our UltraFiber 500 business had the impact of increasing earnings by $0.02 per share.  The $0.02 earnings improvement in the corporate other category is primarily due to a lower effective tax rate 26.5% versus 29.4% in the preceding quarter and lower interest expense. Now I’ll turn it back over to John.
John Crowe: As Steve shared, we had anticipated stronger operational performance in the just completed quarter, expecting improved operational reliability at our Florida wood facility and significant improvement in non-woven volume.  Due to the unplanned operational issues and the slower ramp-up in our non-wovens volume, our ability to offset the higher costs was limited.  We have resources focused on these issues and with the first month of this quarter behind us, Foley is operating with higher reliability and our non-woven sales volume has returned to the level we expected. Over the last two years we have laid the foundation to deliver increasing value to our stakeholders.  Through in-depth customer focus, implementation of lean methods and a focus on strategic alignment and value based pricing, we are positing the company to achieve and sustain improved financial and operating results.  We continue to involve the entire organization in lean enterprise thinking and implementation as a key strategy to grow our business and improve our financial performance.  We have made progress elimination waste and non-value added activities and are still in the early stages of implementation. To achieve our vision to be the leading supplier of unique fiber solutions to our customers, we have established a sustainability objective to ensure long-term success of the company through the development of products and manufacturing processes that minimize our dependency on energy derived from fossil fuels and to develop and implement process improvements that reduce water consumption and minimize our admission and discharge to the environment. We are entering the second year of a three-year energy savings project at our wood fibers facility in Florida.  When completed the change will save the equivalent of over 200,000 barrels of # 6 fuel oil annually and reduce our dependency on fossil fuels and purchase electricity.  Complimenting this project are several innovative renewable energy opportunities with the potential to further reduce our need for fossil fuels and purchase electricity while creating additional revenue streams.  Renewable energy self-sufficiency will improve our cost structure, reliability, product performance, and overall sustainability. We have grown significantly in the last two years.  With this foundation we have set as our key corporate objective the development and execution of a profitable and sustainable growth strategy which will create significant shareholder value.  The strategy involves growing the company while driving gross margins above 20%, earning returns above the company’s cost of capital, generating strong, free cash flow yields, and maintaining a strong balance sheet.  The aim of these efforts is to unlock the underlying value of the company and increase its value in a sustainable manner. To execute this growth strategy we will focus on three key areas:  the first improving existing businesses.  All of our business teams are focused on improving the fundamental value of their businesses.  Our wood business is working to maintain its strong capacity utilization while improving product mix, pricing, reducing costs, and achieving its energy objectives. Our cotton business is working to solve the fundamental raw material constraints in North America and Brazil, reduce operating costs and improve gross margins.  We are making progress on our raw material inventories, our winners, but for the near term we will be limited to producing at the same level we did this year. Our non-wovens business is working with our product end market development organization to develop new products and markets.  Initiatives include our flame retardant product Airspun for bedding applications and our acoustic insulation material SoundLight [ph] for automotive applications.  UltraFiber 50 business held its own in a collapsing housing market.  Additionally we are working to develop other market applications like multi-level decking in commercial construction where UltraFiber 500 meets safety standards at a compelling weight and cost reduction compared to current decking and firewall material. Finally, we are beginning to grow in China and see the large amount of concrete going into their infrastructure as a significant opportunity. The second focused area is extending our current businesses into new value streams and markets.  As we focus on improving our core businesses we are increasingly convinced of the opportunity we see to expand beyond these solid footprints.  The energy savings project and our sustainability initiative create several innovative opportunities to look at all weights and size streams as a potential source for value and revenue growth. Our third focus area is to evaluate other strategic growth opportunities.  While we are excited about shareholder value we can unlock from improving our core business and expanding them into new value streams, we believe that even greater value can be delivered by becoming a more meaningful sized company by considering external opportunities.   We have formed a strategic growth team which includes strong outside expertise responsible for developing and evaluating a variety of options to support our corporate objective of executing a profitable, sustainable, growth strategy. Fiscal year 2008 was a very strong year for Buckeye and we are optimistic about building on the progress we’ve made to sustain profitable growth.  The new fiscal year will bring the challenges of continued cost inflation and the near term raw material availability issue for our cotton business in North America and Brazil. We anticipate the strong demand in our key markets will continue allowing us to value price our products for the key attributes and added value they bring to our customers.  Pricing improvements for our products complimenting our efforts to improve our competitive lean manufacturing configuration give us confidence that we will be successful meeting our financial objectives.  Demand for our specialty fibers remains strong. We anticipate earnings in the July-September quarter will be similar to the just completed quarter with improved operating performance offset by a more normal tax rate.
Operator: (Operator Instructions) Your first question comes from Gail Glazerman –with UBS.
Gail Glazerman: Looking at your cost items, cotton linter is still the biggest pressure point.  I am wondering if you could give a little perspective on how those trends are continuing into the current quarter and maybe tie that in with some recent comments in trade press about softening in the acetate market and what that might mean.
John Crowe: Let me turn that over to Kris and then I’ll add any remarks that to compliment Kris.
Kristopher Matula: Gail as we have indicated our cotton raw material prices have run up quite substantially.  They continue to increase and so we have made very significant price increases to offset those increase in raw material costs with some of the slackening in demand for viscose staple fiber products, particularly in China, we are optimistic that we can get our cotton raw material prices started to head down in the other direction and so that is our focus right now, is to get those prices turned around as we go forward.  But, there is still a lot of upward pressure from that standpoint on our raw material costs there.
John Crowe: The only thing I would add is that the cotton seed oil market is good so the oil mills are crushing and so there is lint available, we just have got to get the price right and get more of it.
Gail Glazerman: Okay and is that something you would expect to see possibly by the second quarter or is this further out?
Steve Dean: As I said in my comments for the near term we’re going to be pretty much running the same level of production that we did this year.
Gail Glazerman: Okay I mean to date you’ve been able to pass this along in terms of product pricing. Is there any sign of price elasticity at this end or?
Kristopher Matula: Well again, we’ve increased our prices very significantly and so now our focus is we really do need to work on getting the cost of the raw material down because we have made significant increases in our prices we’re focusing on the raw material piece of it.
Gail Glazerman: Okay and John when you look at these strategic initiatives that you’re considering, can you give us some perspective on how you balance that with other uses of cash in terms of dividend or buy back?
John Crowe: Right, well as you know one of our near term objectives was to get our debt down below $400 million where we had options with cash other than just paying down debt.  We’re still going to be focused on reducing debt, but as I said in my comments we’re comfortable with keeping it at the current ratio to capitalization of the 48% range. One priority for sure is our energy project because it just continues as energy prices and the opportunity there to branch into maybe other values streams gives us some real growth opportunity so the energy projects is a priority and then as we formed this strategic growth team, we’ve added some outside expertise to it to look at the right opportunities for Buckeye and get us thinking about what kind of growth would we get from that. As you know, if we can improve our base business and we expand we can get to a certain level, but we’re going to be restricted unless we have more capacity somewhere and so that’s the kind of idea’s we’re looking at with the third option, the strategic growth team and maybe some external opportunities.
Gail Glazerman: In terms of the potential, I guess expanded energy opportunities, is there an incremental capital cost with that or can you give us some sense of scale?
John Crowe: Well our three-year project is in the $45 million range.  We’re into the first year.  Steve tells me we’ve spent $6 million of that $45 so that $64 million number I gave you, next year the major up from where we’ve been in the $45 to $50 range is due to that project.  Now as we did sustainability and we see other savings initiatives there’s an opportunity there and that will go beyond that spending if we see the right opportunity has the right pay out.
Gail Glazerman: Okay, could you give us some general perspective on your current markets particularly as you are approaching customers with surcharges?  It seems like the commodity import markets are softening a little bit.  Are you seeing any impact flowing into the fluff business in terms of supply and demand dynamics on the higher end?
Kristopher Matula: Yes. You know as we look at our markets whether it’s our specialty wood markets or our fluff markets, we still see very strong demand for our products so we do not see any softening from a fluff pulp standpoint and so we have continued robust demand really across those markets so far.
Gail Glazerman: Okay and in terms of some of the specialties business kind of outside of the non-wovens but,
Kristopher Matula: Yes certainly in specialty wood our demand continues to be extremely strong and also on the cotton side of the business.  Again, if we could get more raw material we could sell more products, so you know, we see still a very, very strong demand for our products.
Operator: Your next question comes from Chip A. Dillon with Citigroup.
James Armstrong: Good morning guys, it’s James Armstrong calling for Chip.  I just had a few questions. First what is the expected normal tax rate going forward into next year?
Steve Dean: 38.5% is sort of our target.  I’d put in a range of 35 to 38 on a normal basis.  What you don’t know is sort of the special items that you’re going to uncover as you go through the year.
James Armstrong: Following onto that, what exactly, can you give us a little more color on the Brazilian R&D tax credits that you realized?
Steve Dean: Well actually the tax credits were company wide.  It was basically identifying the research and development projects that took place at all of the plants.  The Brazilian tax benefit that we realized in this quarter had to do with inter-company loans and interest, just structuring that differently.
James Armstrong: Do you have any hedges in place?  Do you hedge any of your commodities and if so could you give us some color on that?
Steve Dean: We do hedge our natural gas purchases to a certain extent.  I think we’re in the 25 to 50% range hedged out through December.  Our Foley, Florida plant has the capability to switch back and forth between natural gas, fuel oil and we’re also burning tallow oil that produces a by product in the plant, so we sort of have a natural hedge there.
James Armstrong: Are the hedges at or below current prices in the market right now?
Steve Dean: I’d say they are above currently.  We’ve been picking up a little bit as the market has been gong down.
James Armstrong: Okay and finally on chemical costs, what type of inflation levels are you seeing in the quarter ad is there any sign that as oil prices come off that chemical inflation may reverse?
Kristopher Matula: Yes certainly from a chemical pricing cost standpoint we are continuing to see significant increases in our chemical costs.  You know you are probably familiar with the significant increase on chemical costs that were just announced and so at this point in time we are not seeing any relief on chemical costs and that’s going to be a fairly significant driver in the increase in our costs this quarter versus the prior quarter.
Operator: Your next question comes from Napoleon Overton with Morgan Keegan.
Napoleon Overton: Would you be able to give us an estimate of the cost of the production disruptions at Foley in either the third and/or the fourth quarter?
John Crowe: You’re giving me an option on that, huh Nap?
Napoleon Overton: Well I’m just trying to quantify in my mind recall the impact of those disruptions in the third quarter and perhaps the fourth quarter that you just are now reporting.
John Crowe: Okay in the fourth quarter I would say it’s in the neighborhood of, because of the volume, and its production, we actually shipped out of inventory as Steve pointed out, so in the production it was about a $3 million hit.
Napoleon Overton: To revenues.
John Crowe: To EBIT yes, to operating.
Napoleon Overton: Okay thanks and then you know your CapEx is going to be higher in fiscal ’09 than it has been running. Do you have any debt reduction kind of range targets in mind for the upcoming fiscal year?
John Crowe: Yes, lower is the direction.  I’m not going to really give you a number right now.  We said awhile back that we’d like to head towards the $300 million.  We’ve got some opportunities this year to do some things different with cash, so this is not something we’re going to run to rapidly if the opportunities are there.  The energy project is very important to us so it is a priority for cash.
Napoleon Overton: Okay and then what capital structure considerations will under lie acquisition thoughts and possibilities, external growth activities?
John Crowe: Well as we’ve said, we don’t want to get highly leveraged again like we were five years ago. You’ve been with us, you know how painful that was and how hard we worked to get that leverage down.  We’re down around 2.5 now, that’s nice.  We know if we had some outside opportunity that would have to go up some.  We’re not comfortable.  Steve would shoot me if I let it get too much above 4 in any kind of activity so a 2.5 to 4 range is kind of what we’ve talked about. Do you want to add anything to that Steve or?
Steve Dean: No, I think that’s about right, about 2.5 to 4 leverage ratio.
Napoleon Overton: Okay and then you did sell some of your, for several quarters there you were in a position where you had not excess inventory to sell and you were able to sell some product out of inventory here.  What kinds of inventory are you carrying now in terms of excess supply that you could sell out of and how tight is our inventories right now relative to demands?
Kristopher Matula: Really if you look across our businesses we are at very low levels of inventory and so I would say we have virtually little or no inventory that we can ship from and take it down further.  We are really at the bottom, so we really have to run well and pretty much ship at the levels that we produce at.
Napoleon Overton: You may already have done this, but if you had to name like the three kind of key factors that are going to determine your 2009 results, you know kind of the three factors with the biggest leverage on your 2009 results, what would they be and what’s your general color on those items?
John Crowe: For me it would be filling up our assets.  As you know we have room in both cotton and non-wovens capacity that we could utilize as the markets grow.  The key, as Kris pointed out, in cotton is raw material.  If we could get the raw material in cotton and the markets are strong enough to sell more into. Non-wovens the key as certainly new products, new market development and growing back the business that we lost.  As Steve said, we’re back to about 60% of that, so those are two keys for us.  Certainly cost is important.   As you know our margins this time last year were 20%.  The compression there, certainly we’re going to work hard on that.  Our lean initiatives really helped us protect margin and then the last one is we’ve got to run well.  If Foley runs well it can sell it, if it doesn’t than it’s a lost sale because the market’s that strong right now. Kris or Steve any, I think I gave you three there, but it might put a little color on if either one of you had additional comments there.
Kristopher Matula: Yes I think certainly on our wood cellulose business down at Foley, as John mentioned running well, executing very well is critical, because we can sell everything we make and then we’ve got to make sure we appropriately price those products based on the cost inflation.
Napoleon Overton: Okay and then one last thing, what would you say the outlook is or what’s your feel for the ability to pass through meaningful price increases over the next six months including the kind of key January typical price increases that you pass through normally relative to what it has been in recent years?
Kristopher Matula: Based on really the factors of the strong market demand and significant cost inflation, we’re very confident that we’ll be able to continue to get our prices up appropriately.
Operator: Your last question comes from Bill Hoffman with UBS.
Bill Hoffman: Kris you were just talking about getting the price up appropriately and maybe getting some margin restoration on the non-woven side.  I was just wondering if you could talk a little bit about where the initiatives are and maybe what you expect from even a top line recovery standpoints this year, as well as margins in non-wovens.
Steve Dean: You’re talking specifically on non-wovens?
Bill Hoffman: Yes.
Steve Dean: You know non-wovens we obviously had a disappointing Q4 performance and we’ve gotten off to a much better start as John mentioned this quarter and so our volume is ramping up an so that will be a significant help in terms of getting better asset utilization at our facilities and bringing in incremental contribution margin and operating profit. We do have a lot of cost inflation in the non-wovens business and we did pass some price increases in July to cover those and so we’re going to have to continue to monitor that cost inflation and be prepared to increase prices where appropriate as we continue to build the business and so we see our business rebounding in terms of our operating performance this quarter and then I think continuing out over the quarters in the fiscal year to get it back towards the levels we were at six months or so ago.
Bill Hoffman: Is this generally organic growth or do you see new opportunities from a new business standpoint that will help get some of that recovery?
Steve Dean: Well John mentioned a couple areas in the new product area that we’re focused in on are insulative materials as well as flame retardant materials for bedding applications; those are some new market areas.  Actually in the automotive area we already have some sales at the fairly small level right now and we think we can increase those over this year. The flame retardant applications is another area that we’re hopeful for, but the progress in those will be over the year relatively modest in the grand scheme of the amount of volume we sell and so really what we need to be successful in is in our traditional markets to continue to get some meaningful volume growth and we do see some opportunities there.
John Crowe: One thing that I want to announce here is that we’ve just had a board meeting on August 8 where it was approved for us to repurchase up to 5 million shares, that goes along with the remaining shares we had on our current authorization, so we’re in a better position to execute that strategy if the time is right. I thank you for your attention today.